Operator: Good day, and welcome to the Hexcel Corporation First Quarter 2015 Earnings Call. Today's conference is being recorded. Hosting today's conference are Mr. Wayne Pensky, Chief Financial Officer; and Mr. Nick Stanage, Chairman, Chief Executive Officer and President. At this time I'd like to turn the conference over to Mr. Pensky. Please go ahead.
Wayne Pensky: Great, thanks. Good morning, everyone. Welcome to Hexcel Corporation's 2015 first quarter earnings conference call on April 21, 2015. Before beginning let me cover the formalities. First I want to remind everyone about the Safe Harbor provisions related to any forward-looking statements we may make during the course of this call. Certain statements contained in this call may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. They involve estimates, assumptions, judgments and uncertainties caused by a variety of factors that could cause future actual results or outcomes to differ materially from our forward-looking statements today. Such factors are detailed in the Company’s SEC filings, including our 2014 10-K, our first quarter 10-Q and last night's press release. Lastly, this call is being recorded by Hexcel Corporation and is copyrighted material. It cannot be rerecorded or rebroadcast without our express permission. Your participation on this call constitutes your consent to that request. With me today are Nick Stanage, our Chairman, CEO and President, and Michael Bacal, our Investor Relations Manager. The purpose of the call is to review our 2015 first quarter results detailed in our press release issued yesterday. First, Nick will cover the markets; then I will cover some of the financial details. I’ll give it back to Nick for some final comments before we take your questions.
Nick Stanage: Thanks, Wayne. Good morning, everyone, and thank you for joining us today. As you have seen in last night’s release, we delivered another strong quarter with record first quarter sales of about $472 million, up just over 6% in constant currency from last year. Our operations continue to perform well, delivering first quarter operating income of almost $83 million with margins of 17.5%, up 130 basis points from last year's period. Our adjusted diluted EPS of $0.58 was 16% above the first quarter of last year, overall great conversion on our top line sales growth. Please note our GAAP diluted EPS was $0.70 up 40% from last year's quarter. The difference between our adjusted and GAAP EPS is a $0.12 benefit from discrete tax items. Wayne will go over the details in a few minutes. Nonetheless, excluding these discrete tax benefits we again set a number of records this quarter including sales, gross margin, operating income and adjusted net income. As an organization, we are very proud of our results and we will continue to drive improvements in our operational and financial performance going forward. Now let me turn to our markets. As usual, I will discuss year-over-year comparisons and constant currency. As you are aware, there was a significant strengthening of the dollar this quarter as compared to the Euro and British Pound. For example, if you compare the first quarter of 2015 versus 2014, the Dollar on average was almost 18% stronger than the Euro. This influences our results and some of this impact is not intuitive but the bottom line is. With a stronger dollar, our sales translate lower while our income increases yielding higher margin percentages. Our sales growth this quarter was led by an 8.3% increase in Commercial Aerospace revenues versus 2014 as Q1 sales totaled over $320 million. Total revenue from new Airbus and Boeing programs increased by over 25% primarily driven by the A350. Airbus and Boeing legacy sales declined slightly as compared to the first quarter of 2014 but remained above the legacy sales run rate of last year's second half. Sales to other Commercial Aerospace which includes regional and business aircraft were about 5% higher compared to last year's quarter and remained at about the same level we have seen over the past three quarters. Space and defense sales were almost $89 million, down 3.6% from first quarter of last year. This quarter essentially saw the anticipated end of C-17 sales which accounted for most of the decline. In industrial markets, sales for the first quarter were about $63 million up almost 11% year-over-year. Wind energy sales were up about 15% compared to 2014 and the rest of industrial was up slightly year-on-year on a constant currency basis. Now let me turn the call over to Wayne to discuss some of the financial details.
Wayne Pensky: Thanks. Gross margin of $142 million for the quarter was 30.1% of sales as compared to 28% in the first quarter of 2014, a strong result for both quarters. If you adjust for currency effects, 2015 first quarter still delivered an impressive 29% gross margin. For the quarter selling, general and administrative expenses were about $47 million, up about 14% from 2014 period with increased equity compensation cost being more than half the increase. While we expect equity compensation cost to be higher for 2015 and 2014 in total, we expect the charges for the balance of the year to be lower than what we reported in 2014. Research and technology costs of $12.5 million in the quarter were $1.1 million lower from the comparable 2014 period which was the higher spend for the year. We still expect 2015 R&D expense to be 8% to 10% higher than 2014 on a constant currency basis as we continue to invest in technical innovations for new products and process improvements. Our operating income as a percentage of sales was 17.5% this quarter. This is an increase of 130 basis points from 2014, 16.2% last year's period. Exchange rates contributed 90 basis points for the increase. With respect to our EPS for the quarter, exchange rates added about $0.01 to first quarter's EPS. For the quarter, operating income leverage is about 25% on incremental sales if you adjust for the impact of exchange rates. This includes the $3.2 million in higher stock compensation expense for the quarter. Our Composite Materials segment reported a 8% increase in external sales for the quarter on a constant currency basis and the Engineered Products segments was essentially flat. For the quarter the Composite Materials segment had an operating income margin of 23% as compared to 20.3% in 2014 and the Engineered Products margins was 14.1% in 2015 as compared to 15.5% in 2014. The Composite Materials segment is significantly more capital intensive than Engineered Products, higher operating margin required to achieve the same returns on invested capital as Engineered Products. Our effective tax rate for the quarter was 16%, down significantly from last year’s effective rate of 31.3%. Our 2015 first quarter rate included benefits of $11.6 million primarily related to release of reserves for uncertain tax positions. This contributed approximately $0.12 to report a GAAP EPS this quarter and there is no cash impact from the release for the reserves. Excluding these benefits, our first quarter effective tax rate would have been 30.4% in line with our 30.5% expectation for the full year. For the quarter, free cash flow was a use of $110 million compared to the use of $22 million in 2014 primarily reflecting higher capital expenditures and our working capital usage was particularly high this quarter primarily due to timing. Our working capital seasonal as accounts receivable and inventories tend to wind down at year end and wind up in the first quarter. Our accounts receivables was a $70 million use of cash for the quarter as compared to $48 million for the first quarter of 2014. Our days sales outstanding accounts receivable is usually about 50 days as it was both at the end of the first quarter in 2015 and 2014 and generally do a great job of collecting our receivables and we continue to maintain our past dues at low levels. The cash used for receivables this quarter is higher than last year as a function of higher sales and that we ended 2014 with an unusually low accounts receivable balance result of timing of customer payments. Cash payments for capital expenditures were $95 million in the quarter as compared to $55 million in the first quarter of 2014. On accrual basis, our capital expenditures were $66.5 million for the quarter. During the quarter, the company did not repurchase any stock, we have $100 million remaining into our currently authorized share repurchase program. As a reminder and a follow-up to Nick’s comments, we do benefit from a strong dollar. When the dollar strengthens against the Euro and the Pound, our sales go down and our income goes up. We are now about 80% hedged for the rest of the year. If rates held in their current levels, that would be a benefit of about $0.04 for the year which is included in our updated 2015 guidance. Basically every 5% movement is about a $0.01 earnings for the rest of the year. Finally as previously announced, Hexcel’s Board of Directors declared a $0.10 quarterly dividend payable to shareholders record as of May 4, 2015 with the payment date of May 18. Now let me turn it back to Nick for some concluding thoughts on the guidance before we take your questions.
Nick Stanage: Thanks Wayne. Q1 was a great start to the year for Hexcel, our continued strong operational performance combined with an expected $0.04 benefit from exchange rates leads us to increase our adjusted EPS guidance to $2.33 to $2.43 per share. It previously was $2.26 to $2.38. On a constant currency basis, our view of 2015 sales has not changed. We still expect growth in Commercial Aerospace with some gains in industrial markets that will lead our constant currency sales higher. However, when you adjust for the impact of the strengthening dollar and the reduced translated values of Euro and Pound denominated sales, we now expect sales of between $1.86 billion and $1.94 billion, previously it was $1.9 billion to $2 billion. We expect between $260 million and $290 million for accrual basis capital expenditures in 2015 and we also expect to generate between $10 million to $60 million of free cash flow both unchanged from our January guidance. We remain confident in our operational focus and continuous improvement mindset while working to position the company for the forecasted growth ahead as we support our customers by investing in technology, capacity expansion, manufacturing innovations and our people. We would now be happy to take your questions.
Operator: [Operator Instructions] And we will take our first question from Myles Walton with Deutsche Bank.
Myles Walton: Thanks good morning.
Nick Stanage: Good morning.
Myles Walton: I was hoping maybe just to clarify - of the guidance raised in the $0.05 to $0.07 range, $0.04 of that was FX versus your original plan? Is that correct?
Nick Stanage: That's correct.
Myles Walton: Okay, great. And then, so the other $0.01 to $0.03 was what you're seeing in the underlying better margin performance. It sounds like the overall topline picture didn't really change much in terms of your initial plan.
Nick Stanage: The topline constant currency remains unchanged and we continue to focus on operational performance with little tailwind on some input materials based on oil.
Myles Walton: Okay. Great. And then, on capital deployment, I know you didn't buy any stock in the first quarter. Should we expect that $100 million to kind of ratably proceed here over the remainder of the year, and it was probably more just light 1Q cash flow, cash management than anything else?
Nick Stanage: We’re always looking at our cash position and optimizing our structure and we balance that between our investments, our cash outlay and timing. So, we fully expect to proceed with our $100 million share buyback and we will continue to report out at quarter end our performance there.
Myles Walton: Okay. All right. I'll just leave this to two. Thanks, guys.
Nick Stanage: Thank you.
Operator: And we'll take our next question from John McNulty with Credit Suisse.
John McNulty: Yes, good morning. Thanks for taking my questions. A question on the wind business. You have seen now really robust growth over, now I guess it's five straight quarters. So when do you start to expect to see it kind of wind down a little bit? I know you had some tax credit issues in the industry that really - it hurt 2013 and it got offset in 2014, but it does seem like you're continuing to kind of - even after annualizing some of those issues, you seem to be posting some pretty strong numbers. So, how should we think about the outlook for that going forward?
Nick Stanage: So you’re right John, 2013 was very challenging and then 2014 rebounded nicely. I would point out that first quarter of 2014 was fairly weak which made the comparable this quarter pretty easy and that won't be the case for the balance of the year. Having said that, if you look investors and their continued increasing backlog which I believe is at about 7.5 gigawatts and if you base that on last year's installation rate of just about 6.5 gigawatts they’re doing pretty well there winning new farms, so we feel good about it. I think the rate of growth will slow down little bit but we still expect the full year to come in at mid-single digits industrial and wind included.
John McNulty: Great. And then, with regard to the FX benefits and the strong dollar, is that helping at all, or does it help at all in terms of your potential to reduce your CapEx spend where your dollars are just going that much farther? Because I know you didn't change the CapEx guidance, but I guess I'm wondering if the change in FX has any impact on that as we think about it going forward.
Nick Stanage: It certainly does obviously where we’re buying in Euro or British Pound denominated cost. We continue to push that and we will continue to do that going forward as well as continuing to drive increased productivity and throughput with the capital assets that we’re continuing to put in place. So, our performance in installing CapEx has been extremely good and I just want to point out that the $260 million to $290 million of expected CapEx in 2015, the majority of that is growth based on programs that have been awarded. It's not a function at all on performance, performance continues to improve.
John McNulty: Great. Thanks very much for the color.
Nick Stanage: Thank you.
Operator: We will take our next question from Steven Cahall with Royal Bank of Canada.
Steven Cahall: Yes, thank you. Good morning. Just a first question is, if we think about the sales by market, so you've made the adjustment to the revenue guidance including FX, and I think you talked about 400 bps coming off of the growth rates in terms of your translated revenue. So if we're just thinking about reported revenue for the year, does most of that headwind fall on Commercial Aerospace, or, you know, how that - maybe you can give some color on how it spreads across the way we think about the growth rates on a reported basis for those end markets?
Nick Stanage: Yes Steve, the biggest impacts on the industrial, our industrial market is probably 60 plus percent in euros and pounds. So the biggest impacts there, we still have an impact both in space and defense and commercial aerospace but that impact in terms of percentage as much smaller.
Wayne Pensky: I think when you look at our net total revenue about 20% of that is denominated in Euros and British pounds?
Nick Stanage: And most of that's Euros.
Steven Cahall: Okay, and then I was wondering - because there is a lot of moving parts via FX, if you can give us a sense of what your incremental margin was in quarter vis-à-vis the 25% of your target you set out -
Nick Stanage: So FX adjusted for the quarter we came in at 25% and we expect to do 25% for the balance of the year.
Steven Cahall: Okay that's it for me. Thank you.
Nick Stanage: Thank you, Steven.
Operator: We'll take our next question from Howard Rubel with Jefferies.
Howard Rubel: Thank you. A couple things. You know, I know auto is not the highest thing you're doing, but aerospace doesn't grow forever, and we are seeing expanded uses of composites. Nick, where do you stand on broadening the portfolio a little bit organically?
Nick Stanage: Well Howard, we have been in the automotive segment for many, many years and continue to pursue that. So I would tell you we have multiple programs ongoing today, where we’re working with customers heavily focused on premium and high-end applications to provide differentiated technology, where we can continue assist any advantage. So, we’re working that. It is a small base for us today, but it is a growing base. I would also say what we’re seeing is some of the technology that we’re innovating for those segments, we’re seeing potential application in our other markets including commercial aero, and space and defense. So I like the industrial space, I like the automotive provided it’s in a area where we can provide a sustainable competitive advantage and not get into the commodity area. But we’re working it heavy. Again just a reminder, we reorganized our industrial team and we have dedicated resources and assets that work this day to day.
Howard Rubel: No and I recognize aerospace great composites are not the same as sheet to steel, by any stretch of the imagination. So you want to continue to maintain that value. But is there anything that you can address in terms of, you've made some breakthroughs with some customers so that it moves up and becomes - rivals wind in terms of its contribution?
Nick Stanage: So I’d say the programs we want it's a little early to declare yet, because we’re still in the development in qualification phase. I think in the near future we may highlight these. I would point out that these in themselves will not be material drivers on topline. But when you look at the automotive side segment, it will be pretty robust percentage increases on that business.
Howard Rubel: That's very helpful. And then second, my understanding is, not all the composites have been awarded for the 777X yet, and I know you've worked very hard to try to improve your position versus the standard. How is that process going?
Nick Stanage: Well, you’re right. We’re continuing to work it hard with Boeing and other customers for aircraft structures as well as engines and the sale. So I’d say it’s going well. We continue to provide innovative solutions and I remain confident that our 777X content will be higher than a 777, which as a reminder is a million dollars today. So we feel good about where we are and look forward to growing.
Howard Rubel: And then last, I don't - your answer to Myles' share repurchase question was not - it was a little open-ended, and I've kind of pushed before on this, and maybe, too, you could provide a little more closure. Has there been some reason why you've been hesitant to complete the program? You've sort of stopped it for over six months now.
Nick Stanage: So, Howard, I never complain about you pushing so remember that. We always look at the opportunities we have and I wouldn’t say we’ve delayed or we've rebalanced but we have multiple levers to pull. One we continue to go after new business on A320neo and the MAX. We continue to push hard on the 777X and the A330neo now all of which we require increased investment based on the amount of content above current rates we win. That's first and foremost. Second, you know our priority is looking at M&A similar to what we did last year with for Formax identifying bolt-on opportunities that can enhance our technology offering and allow us to provide our customers with a more innovative, more cost effective a better solution for them to be successful in the marketplace. And then we look at a balance of returning to shareholders to start buyback and/or dividends as we initiated this year. So we don't look at them independently. It’s altogether based on what we’re doing and as you’ve seen we had pretty high cash usage in Q1 which was expected. I am happy to say we had high CapEx spend in the first quarter and historically we intended to start off the year slow and ramp up throughout the year, this year we’re getting off to a faster start which we need to given the drain on the resources and the amount of CapEx we have to go this year.
Howard Rubel: I think that’s very fair. Thank you very much, Nick.
Nick Stanage: Thank you, Howard.
Operator: [Operator Instructions] And we will take our next question from Noah Poponak with Goldman Sachs.
Noah Poponak: Good morning, everyone. Is it accurate that stock-comp expense was up a little more than $3 million in the first quarter year over year and then will decline year over year each of the remaining three fiscal quarters of the year?
Nick Stanage: No I wouldn’t necessarily say there were each but in total for the three quarters but I don’t want to give the quarter-by-quarter view but last three quarters we expect to be lower than the last three quarters of 2014.
Noah Poponak: Okay. So, I guess having achieved the 25% incremental on a constant-currency basis despite that headwind, - does that just give you a little cushion in the full-year range, or is there another expense that picks up and goes against you compared to how it was for you in the first quarter?
Nick Stanage: So Noah again as a reminder we upped our income leverage percentage to 25% in January and keep in mind we have depreciation stepping up this year based on the prior capital investments and then we have big CapEx investments coming online sporadically as we grow. So remember some of those carbon fiber and precursor some realigns take two to three years from the start of putting them in place to getting them qualified and when they come online they’re not totally filled. So when we look at the 25% really that’s kind of an all-in, we know there is a little bit of tailwind, we had some incremental cost on the comp in the first quarter this year and last year we had it more towards the second half of the year. But overall we still feel good about 25% and delivering that. Having said that we’re always pushing operational improvements, we’re always pushing productivity and we are not going to let up on the gas at 25%. So rest assured if there is more to be had and there will be we will go and get it.
Noah Poponak: I understand. On the aerospace topline, why was the legacy Boeing and Airbus revenue down year over year in the quarter?
Nick Stanage: Yes it was only down a couple percent, it was actually above the run rate of the second half of 2014 that is I won’t read too much into it, I mean if you look at the individual build rates not much was happening I think it is more just timing of the shipments.
Wayne Pensky: Well there is no rationale because build rates are creeping up as you know roughly two per year, so it’s timing.
Noah Poponak: Okay. Yes, I just wanted to make sure there wasn't anything abnormal down there.
Wayne Pensky: No, no.
Noah Poponak: Okay. And then finally, in defense, I guess rotorcraft was going against you in the back half of last year; you didn't call it out in the release. It sounds like perhaps that has bottomed. C-17 sounds like it's now just out of the numbers. I guess are those both accurate? And perhaps if you could just maybe give us a broader update on, as you look at the rest of this year and into 2016, which programs remain or become a headwind, and which programs top two or three start to have an even faster growth rate for you than they've had so far?
Wayne Pensky: So yes again just as a reminder remember we have over 100 active programs and some of those programs are small, so quarter-over- quarter timing and build rates, order rates tend to be a little lumpy. So don’t read too much into quarter-over-quarter. C-17 is going to be about a $12 million or $13 million headwind this year versus 2014 and that’s basically a fact that production has wind down. What is going to offset that is basically the JSF, the A400M when they get to rate will certainly be two of our biggest programs in the segment, the V22 is holding strong, we’re expecting 2015 sales to be comparable to last year sales. So, in the Rotorcraft overall again this has many programs both in military and commercial, reminder commercials about 15% of that, it was down slightly this quarter and again we expect that to be fairly flat overall for the balance of the year.
Noah Poponak: And that C-17 piece, how much of that occurred in the quarter out of what you expect for the full year?
Nick Stanage: No, I’d say it this way. If you look - the first quarter of last year was the highest but the last three quarters was still relatively strong. This quarter was the first big drop off, so.
Wayne Pensky: And it is pretty significant.
Nick Stanage: But - and so you’ll see that drop off for the next three quarters as well on a year-over-year comparison.
Noah Poponak: Okay, got it. Okay, thank you very much.
Nick Stanage: Thank you.
Operator: We’ll take our next question from Gautam Khanna with Cowen & Company.
Gautam Khanna: Hi, good morning guys. A follow-up on a couple questions that were asked. If you could first talk about any areas you might want to augment via M&A and how the pipeline for those types of assets currently looks?
Nick Stanage: As we’ve said before we have an active M&A Group, it's not big but we’re looking at potential targets. Again those targets are focused within our core space. Those targets are focused on technology and those targets are focused on helping to augment our existing portfolio to offer more creative, advanced technical solutions for our customers. To really get into the specifics wouldn't be appropriate for this call but I can tell you, there is more than a few bolt-ons and various technologies that we continue to look at and continue to be interested in.
Gautam Khanna: And that would include automotive, I take it - would that be among the top areas you would want to augment?
Nick Stanage: When we look at technology, we really do not define it persuade market, we look at technology to provide lighter ways, stronger, faster processing solutions. And for the team I don’t give direction that this needs to be focused on this market or that market, it needs to be focused on technology to allow us to win in the markets we participate in. And a lot of that technology flows between wind and industrial and automotive and space and defense and aero it's transparent.
Gautam Khanna: Okay. And switching gears, on the A350 program, I was hoping you could just give us a sense for where you think composite inventory lies. Are they sort of buying in line with underlying assemblies or ahead of it or behind it? If you can just talk about any sort of restock or destock phenomenon we might be seeing in future orders, if any.
Nick Stanage: Yes. As you could imagine, we have people working with Airbus everyday in their plants everyday working together to optimize our supply chain and we have very good visibility and very good communications with Airbus. So with respect to where they are, with the production ramp up and where we are with respect to delivering that, we look at that, we do salary checks on that and basically its inline, we haven't seen decrease or an increase, we believe its well aligned. I'd also just remind everyone that Airbus plans to be at a build rate of 5 per month at the end of the year, keeping in mind we ship about six months in advance of their build rates, you could expect that towards a middle of this year or another quarter will probably be right about at that rate.
Gautam Khanna: Okay. And since we last spoke, the A330 rate officially is going down a little more. What will the impact on the revised guidance to the A330 be?
Nick Stanage: Well the A330 towards the next year is going to drop from 9 to 6 per month and again we have about $900,000 content per ship set. So that’s built into our forecast.
Gautam Khanna: And that affects you guys later this year or in the middle of this year? When would you expect to feel some of that?
Nick Stanage: It will be like late Q3, Q4.
Gautam Khanna: Okay. Thank you very much.
Nick Stanage: Thank you.
Operator: We’ll take our next question from Steve Levenson with Stifel Nicolaus.
Steve Levenson: Thanks. Good morning, everybody. Can you give us an idea of what's going on in the market for out-of-autoclave materials versus traditional ones, and how the pricing is for you, and how the mix might be changing going forward?
Nick Stanage: Well there is a lot to talk about out-of-autoclave and specifically related to high volume applications where autoclaves tend to be expensive and they tend to be one of the bottle mix and throughput. So we certainly have multiple options on providing out-of-autoclave materials. I think the challenge and what we're certainly focused on are, getting out-of-autoclave material performance inline with the prepreg in autoclave meaning porosity and strengths and mechanical performance as high as possible so that you're not faced with a knockdown in those designs. So I certainly see out-of-autoclave as a technology that will have a place and it has a place and depending on how that evolves will determine how much growth it yields going forward on new programs.
Steve Levenson: Thank you. Second, with the strength of the dollar, and your construction costs in France I assume are in euros, are you doing any advanced payments or hedging to cover your cost of construction there?
Nick Stanage: So Steve its not, not of all the costs are in Euros but its probably two-thirds and then generally its not something you can actually hedge and get proper hedge accounting but we’ll buy things as quickly as we can but most of big Euros spending is next year not this year.
Steve Levenson: So no real impact to depreciation anytime soon and maybe not at all?
Nick Stanage: Well actually if you just look at deprecation expense by itself and always gets crazy me like individual line items, we expect to go end of the year be about a $12 million increase in depreciation expense, when you look at the new currency rates it's probably about a $10 million increase right now and that’s mostly just FX.
Steve Levenson: Okay. Thank you very much.
Nick Stanage: Thanks Steve.
Operator: We’ll take our next question from Ron Epstein from Bank of America Merrill Lynch.
Ron Epstein: Good morning, guys. Just maybe a couple of quick questions. On the earnings conference call, you had mentioned that there was some supply chain disruptions on a couple of their engines, I think specifically it was on the GEnx. Has any of that affected you?
Wayne Pensky: I will say no.
Nick Stanage: It hasn't flowed up and we didn’t see a drop in our sales there and our deliveries continue on pace based on the production build rates so I have to say no.
Ron Epstein: Okay, okay. That's great. That's cool. And then just the M&A question has been asked a little bit, so I'm going to kind of get at it at a different angle. When you look at the landscape for - in the carbon-fiber suppliers industry, do you think there's a case for consolidation?
Nick Stanage: It depends on who's perspective, if I look at our portfolio again, I'm very proud of that fact that we have the broadest portfolio with high strengths, intermediate module and high modules fiber with prepreg, carbon fiber with glass prepreg with honeycomb core and engineered products and Acousti-Cap which is a proprietary sound of bidding system that used on engines and the cells. Is there an opportunity there, somebody might say there always is but we certainly like the position we have today.
Ron Epstein: Okay, okay. And then one more kind of industry question if it's okay. On the 777X, it appears - at least the press has reported - that the center wing box is going to be aluminum. How do you guys read that, right? Is that backing away from an all-composite wing, and what's that mean for the industry?
Nick Stanage: I think its risk mitigation and basically Boeing has elected to limit the amount of new components on the 777X mainly as risk mitigation as well as timing. I think the schedule cost for the 777X go into production 2020 timeframe, so it really was not possible to do the whole plane in carbon fiber to do a brand new airplane. So they just pick their areas, where they could see the biggest advantage and that’s what drove the selection of the materials and the trade-offs.
Ron Epstein: It’s interesting. Okay great, thank you guys.
Nick Stanage: Thanks Ron.
Operator: [Operator Instructions] We will take our next question from Ken Herbert with Canaccord.
Ken Herbert: Good morning. Wayne or Nick, I just wondered, can you sort of break out the growth on the new programs? Was all the 25% growth A350, or are you starting to see anything meaningful yet from, say, the A320neo?
Wayne Pensky: Well again as a reminder our growth on new programs was over 25% and the new programs makes up about 30% of our commercial aerospace, having said that the A350 was definitely the biggest component but we’re seeing the A320neo ramp up as well. So it was heavily A350.
Ken Herbert: Okay. And just then, based on your comments, Nick, around Airbus coming out of the year at five months on the A350 and you probably start to see that, give or take midyear, is it fair to assume that we see a sequential or a nice step-up from sort of first-half to second-half in the A350? Is it a very meaningful step-up, or is it sort of blended across the quarters?
Nick Stanage: I think it’s going to be fairly level and a progressive ramp between now and when they hit 10 per month in 2018. So you can just imagine the amount of suppliers and the complexity of the supply chain, it doesn’t lend itself to make radical movements up or down. So they tend to keep them very planned and very consistent.
Ken Herbert: Okay. Great. Well, thank you very much.
Nick Stanage: Thank you, Ken.
Operator: We will take our next question from Mike Sison with KeyBanc.
Mike Sison: Hi, guys, nice job for the year.
Nick Stanage: Thanks Mike.
Mike Sison: In terms of other commercial, you talked about regional business jets up about 5%; any particular platforms that are perking up for you as the year unfolds, or is it just generally delivery forecast is better this year than last year?
Wayne Pensky: Yes Mike there really is not one or two or three programs that really make up the five percentage pretty much just general up tick based on demand and build rates.
Mike Sison: Okay. Great. And then on the 777X, you talked about potentially getting a bigger position than your current position on the 777. Given risk remediation or thoughts there, would you be picking up opportunities in secondary or primary parts -- fiber composite, where do you think your best edge is to increase your content?
Wayne Pensky: All the above.
Mike Sison: All the above?
Wayne Pensky: Plus you didn’t mentioned the sales and engines.
Mike Sison : Got it. And then, last one on space and defense, when do you think you could turn the corner there in terms of constant currency growth over the next couple of quarters and any thoughts on the JSF? Is that something that could perk up for you as the year unfolds?
Wayne Pensky: Yes so Mike we’ve said, we think space and defense is stable for the year and I don’t think you will see a big pick up until we get out next year or two, it really the growth is going to be about the Joint Strike Fighter sort of the next big growth driver as well as some of the various rotorcraft programs that are commonplace but I think for the next coming, for the next three quarters our goal is to hold it flat, our expectation I should say, is to look flat.
Mike Sison: Okay, great. Thanks.
Wayne Pensky: Thanks Mike.
Operator: We'll take our next question from David Strauss with UBS.
David Strauss: Good morning. The CapEx spend this year, and looking out over the next couple of years, can you just maybe help us where you sit today from a capacity-utilization standpoint, maybe on carbon fiber and prepreg, and really identify the programs, I guess, over the near-term that the CapEx spending that's above the maintenance level is really targeted towards?
Nick Stanage: So again as a reminder, when we provided our 2020 vision back in January, we communicated that we expect to deliver $3 billion in sales and $4.50 of EPS and to get there would take about $1.1 billion of dollars between 2015 and 2019. We knew and we expected that to be front end loaded in 2015, 2016 and maybe a little bit 2017 and we’re pretty much on that path. With respect to capacity and where we stand a couple of points to just remind everyone is, our assets are fundable, so we are constantly balancing programs that are following off versus the new programs that are growing and putting that into the equation and capacity requirements for new CapEx. Wayne with respect to our capital investment, the majority of it probably all but $50 million range is based solely for growth.
Wayne Pensky: $50 million per year for maintenance.
Nick Stanage: $50 million for maintenance in that order of magnitude, the balance of it is growth for new programs that have been awarded. And again last point I would make is, keep in mind for the majority of our programs and products we're sole sourced which by definition mean we can never be short, which by definition means we’re probably always just a little bit long and that’s the way the business operates. So David I hope that answered your question.
David Strauss: Yes, it helps. I understand your capacity is fungible, but I guess your biggest ramp-up is on the A350. I guess could you help what level are you capacitized on A350 at this point? Can you accommodate 10 a month at this point on the A350?
Nick Stanage: I can tell you we cannot - we’re not ready, we’re not in position, we have more investment to do this year and next year to get to the point to be capacitized to do 10 per month. I would also point out that, A350 is a big driver but you have to keep in mind the LEAP, the neo, the MAX there is a pretty significant fiber requirements coming out of those as well as the other new programs that we continue to win.
David Strauss: Yes, that's actually my follow-on question. Can you update us on your ship set content on the reengineered by programs, if there's been any change there?
Nick Stanage: So if you’re referring to the A320neo and the 737 MAX - neo is obviously is getting much closer and as again as a reminder on both platforms we have about $300,000 of content per ship set and we have stated that we expect to grow that by 50%. I would tell you that we remain confident in those assumptions but at the same time I would tell you that we’re still working various positions specifically on the 737 given that it’s out a year and half, two years beyond what the A320neo is. So it is just a little bit early for us to declare exactly what our ship set content is for the neo and even a little more relieved on the 737. And I was just going to say obviously the 777X we have already talked about in the A330neo and any potential A380neo is obviously too early there as well.
David Strauss: Right, okay. And Wayne, is the share-count assumption still $98 million for the full year?
Wayne Pensky: Yes for now that is close enough.
David Strauss: Okay. Thank you.
Nick Stanage: Thank you, David.
Operator: And we'll take our next question from Chris Kapsch with BB&T Capital Markets.
Chris Kapsch: Yes, good morning. There's been a lot of discussion about currency, specifically the dollar's strength against the pound and the euro, but the dollar has also strengthened quite a bit against the yen. So my question is about the yen's weakness. A couple of players in the carbon-fiber industry, of course, are based in Japan, and I'm just wondering if the yen's weakness is affecting or improving the competitive positioning of a key competitor over there. Has that manifested itself in any change in competitive behavior from what you can glean, or do you just think this is really just not really an issue? It's just a trend being a sort of currency move that the industry has experienced in the past and will experience in the future? Thanks.
Nick Stanage: Chris on the aerospace side, I would say really it’s not too much of an impact the business has evolved been one - you’re qualified as certain plans, certain location and you’re talking about our Japanese competitors. They have facilities in Europe and in the U.S. and supplies as priced in dollars under long term agreements, or the currency has already been set. So I don't see any impact there. On the industrial side, we are not a big player in that and the market moves a lot more. I'm sure you guys have seen some impact there but for us we are buyer as oppose to sellers, so for us prices go down its probably good thing. But I can't really comment on that one specifically.
Chris Kapsch: Okay. And I just also wanted to clarify some of Nick's comments about the A320neo and the ramp there. So I believe you said you're starting to see some shipments. Is that consistent with the production ramp timing that you've expected prior? And then also, I mean, given that the shipments are ramping there, is there - I know you don't want to - you can't really nail down your ship set content for the neo - it's what you just said, I believe - but is there realistically an opportunity to still increase content there? Just elaborate or clarify those comments. Thanks.
Nick Stanage: Well again the A320neo obviously completed first flight and assume flight testing qualification program with the schedule to enter into service at the end of this year. Now what that means is, the pipeline is starting to fill programs and applications have been defined, so the number of applications that are still subject and open to bidding and winning are definitely going down but there are still some areas where we believe we can increase content. So that's why it's a little early to declare. We have seen an increase in the demand on the nail components and material supply but again it offers a very small base and its not real material to the contribution on our new program growth at this time.
Chris Kapsch: Okay. Thank you.
Nick Stanage: Thank you, Chris.
Operator: We have no further questions over the phones at this time. This concludes our conference for today and we thank you for your participation.